Operator: Good day, everyone and welcome to the Nucor Corporation Second Quarter 2008 Earnings Release Conference Call. As a reminder, today's call is being recorded. Later, we will conduct a question-and-answer session and instructions will come at that time. Certain statements made in this conference call are forward-looking statements that involve risks and uncertainties. Although Nucor believes they are based on reasonable assumptions, there can be no assurance that future events will not affect their accuracy. Some of the important factors that may cause actual results to differ from our predictions are listed in Nucor's SEC filings. The forward-looking statements made in this conference call speak only as of this date, and Nucor does not assume any obligations to update them. For opening remarks and introductions, I would like to turn the call over to Mr. Dan DiMicco, Chairman, President and Chief Executive Officer of Nucor Corporation. Please go ahead, sir.
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: Thank you. Good afternoon and thank you for joining us for Nucor's third quarter excuse me, second quarter conference call. We appreciate your interest very much in Nucor. Our team will review Nucor's second quarter of 2008 performance and we'll update you on our disciplined implementation of Nucor's growth strategy. Our successful execution of Nucor's multi-pronged strategy continues to deliver strong returns for our shareholders with more attractive growths still ahead of us. First and most important, I'd like to say thank you and job well done to all the 21,000 members of Nucor's team for delivering record second quarter earnings of $581 million and a record first half earnings of $991 million. This performance also set a new quarterly earnings record for Nucor of any quarter, breaking our previous record of $522 million earned in the third quarter of 2006 by 11.3%. As always, you are working safe, you are working smart, you are working hard and you are working together to take care of our customers, and I thank you. You have proven again that Nucor's most significant competitive advantage remains our people, our employees, our teammates, the right people; the right people working together as a team. I also want to extend a warm welcome to the newest addition to our Nucor family. Earlier this month, we completed the acquisition of a 50% equity stake in Duferdofin-Nucor. We are very proud and excited to be partners with the men and women of Duferdofin. Together we established Duferdofin-Nucor as the premier supplier of beams in Southern Europe and Northern Africa. Again, we welcome you to the Nucor family. In reviewing our progress this quarter, two very important observations stand out to me. First, the Nucor team again generated strong earnings in the period of sharply higher raw material cost. And second, our team continues to build on our multiple platforms for growing earnings and shareholder value. Second quarter and first half of 2008 saw unprecedented escalation in the cost of scrap and other iron units. From December 2007 to June 2008, our monthly scrap and scrap substitutes usage cost increased by $223 per ton. It increased by $66 per ton from December 2007 to March 2008, and then increased by another $157 per ton from March to June of this year. Additionally, first half of 2008's results included a LIFO inventory charge of $283 million pre-tax, the $69 million in the first quarter and $214 million in the second quarter. And over the same period of record scrap prices, the Nucor team achieved higher metal margin spreads and record earnings. That is repeating. Over the same period of record scrap prices, the Nucor team achieved higher metal margins spreads and record earnings. Our success in managing the increased costs in metallics was driven by the healthy supply demand balance in North American steel markets, and continued effective utilization of Nucor's raw material surcharge out of steel mills. Also our mills have done an excellent job of capitalizing our strong global steel demand with strong export sales. Now let's talk about my second observation. Our team's ongoing focus on building Nucor's long-term earnings power. Half way through our fifth consecutive year of exceptionally strong earnings and returns to our shareholders, it is clear that our multi-pronged growth strategy is paying off. But while we're encouraged by this progress, our team is not satisfied. In fact, we're seeing acceleration in a number of profitable growth opportunities available to us. That realization was the rationale for raising $3 billion in capital in the second quarter. Nucor's disciplined execution of our multi-pronged growth strategy has positioned our company with a number of attractive growth platforms. In the first half of 2008, we have a number of exciting success stories to share with you as we continue to build upon these platforms. Prior to February, the David J. Joseph Company has already proven to be an outstanding and extremely profitable growth platform for Nucor in scrap and other upstream businesses. I congratulate the David J. Joseph teammates for their impressive earnings contribution for the second quarter. Very strong performance was posted across the board in DJJ's processing, brokerage, logistics and those services businesses. Repeating what I have said many times before, when the David J. Joseph Company came aboard, the best of the best in the scrap business joined the Nucor team. And most importantly, DJJ's talent management team was already at work as a growth platform for Nucor in the scrap business. In the second quarter, we completed acquisitions of two scrap processing companies. Our total annual scrap processing capacity now approaches 5 million tons with more on the way. Our initial international growth platform was established this month with the consummation of our Duferdofin-Nucor joint venture in Italy. This partnership brings together a strong management team with Nucor's technical expertise in the beam business. And the ventures three times [ph] steel mills are strategically placed to serve growing markets for structural shapes in Southern Europe, North Africa and the Middle East. With the start up later this year of the second rolling mill at the Sicilian plant Duferdofin-Nucor has the potential to be a 2 million tones per year producer of structural steel. Working with our partners we are looking forward to a bright future of profitable growth and European beam business. In May, we signed a memorandum of understanding with Sidenor S.A. to purchase a 34% share of a proposed new joint venture for the production of long products and plate in the Balkans, Turkey, Cyprus and North Africa. Sidenor is the largest steel producer in Greece with additional steel making assets in Bulgaria and the former Yugoslav Republic of Macedonia. This venture would follow the model established with our Italian joint venture. And that is to enter into international steel production through joint ventures with culturally compatible partners where Nucor can leverage our operating know-how and intellectual property. Our team sees this as just the beginning of Nucor's presence in the European market. In May, Rex Query was promoted to the new senior management position of President of Nucor Europe. An 18-year veteran of our company, Rex is a proven Nucor leader. And we're looking forward to developing additional attractive growth opportunities in Europe. Our downstream side of our business, Harris Steel continues to be a powerful growth platform for us in the rebar fabrication market. In June, Harris reached an agreement to acquire Ambassador Steel. This acquisition will be a major step in expanding Nucor's national footprint, rebar fabrication, and building a market leadership position at rebar fabrication complements our position as North America largest producer of rebar. Market leadership and vertical integration to value added steel products are critical underpinnings to Nucor's proven ability to generate attractive long-term profits. Just one additional note on our downstream businesses; if you take a look at our steel mill and steel products divisions, the DC or division contribution per ton numbers in terms of how much operating profit per ton we're making whether it would be in the steel mill or downstream, are almost identical in terms of the DC per ton. So our strategy of not only growing within the steel business but the downstream is providing is very, very strong margins and high profitability up and down our vertical integration strategy, whether it be in scrap, steel mills or in downstream fabrication businesses. Considering our both strong profit performance and our accelerating growth opportunities, my confidence has never been greater about Nucor's ability to continue rewarding our shareholders with attractive returns. I will now ask our CFO, Terry Lisenby to share with you his thoughts on our results and financial position. Terry?
Terry S. Lisenby - Chief Financial Officer, Treasurer and Executive Vice President: Thanks, Dan and good afternoon to everyone. Nucor's second quarter earnings of $1.94 per diluted share were ahead of our quarterly earnings guidance of $1.75 to $1.80. Second quarter earnings per share were also a record level, exceeding the previous record of $1.70 in the third quarter of 2006. This better than expected earnings were achieved despite a LIFO inventory charge of $214 million for the quarter. The second quarter 2008 charge exceeded our full year 2007 LIFO charge of $194 million. And at the close of the quarter, Nucor's LIFO inventory reserve was $865 million. That compared to LIFO inventory reserves of $582 million at year end 2007 and $387 million at year end 2006. Nucor's operating performance continues to benefit from our diversified product portfolio. A number of our product lines contributed strong profits in the second quarter including bars, beams, sheet, plate, DJJ's scrap operations, cold finish bars, deck, building systems, fasteners, grading and wire mesh. Second quarter results again highlighted the value of Nucor's position as North America's most diversified steel producer. Dan mentioned our capital raising work in the second quarter. In May, Nucor completed a stock offering that raised approximately $2 billion and a debt offering that raised approximately $1 billion. This capital along with our strong balance sheet and cash flow positions Nucor to capitalize on the attractive investment opportunities for our shareholders. In 2008, the opportunities to profitably invest our shareholders valuable capital have accelerated. As always, Nucor will be both disciplined and opportunistic in pursuing profitable growth that rewards our shareholders with attractive returns. Looking at our balance sheet, Nucor is in a position of strength to continue executing our growth strategy. Cash totaled approximately $2.8 billion, debt totaled $3.3 billion and our debt-to-capital ratio was 28%. Nucor holds the highest credit ratings of any North American metals and mining company awarded by Standard & Poor and Moody's. Strong credit rating gives us strategic flexibility in growing our business and significant cost savings and managing our business. Cash provided by operating activities for the first half of 2008 was $828 million, up from $738 million for the year ago first half. This year's cash flow has been impacted by the higher working capital requirements resulting from unprecedented increases in scrap costs and steel selling prices. Increased receivables and inventories reduced operating cash flow by almost $1.2 billion. This was partially offset by increased payables, which provided cash of $493 million. Of course, any future declines in scrap and steel prices would reduce our working capital requirements. Capital expenditures for this year's first half were $502 million. Over half of those outlays were in our Greenfield projects. The Memphis SBQ bar mill, the Decatur sheet mills galvanizing facility, the Arkansas Castrip plant and the Utah building systems facility. Full year 2008 capital expenditures are expected to be approximately $800 million. On July 1, we completed our acquisition of 50% of the stock deferred within Nucor for a purchase price of approximately $658 million. Our investment values to joint venture at around 6.3 times adjusted EBITDA for 2007. This is Nucor's first steel making investment overseas. We expect our initial international growth platform to generate very attractive long-term returns for our shareholders. Our outlook for the third quarter is positive, with earnings expected to be in the range of $1.80 to $1.85 per diluted share. We expect continued strength in our plate, beam, bar and sheet businesses due to strong global demand for steel. Although they will continue to be challenged by high steel prices, we expect continued solid performance from our downstream businesses. We see more exciting growth and even better days ahead of us, and thank you for your interest in Nucor. Dan?
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: Thank you, Terry. Ham Lott will update us on Nucor's downstream steel products businesses. Ham?
Hamilton Lott, Jr. - Executive Vice President: Thank you, Dan. Good afternoon to everyone. I want to congratulate and thank all of our fabricated construction products teams for their hard work and success in managing through a challenging period of unprecedented increases in our steel costs. Nucor produces four major fabricating construction products. They are steel joists, steel deck, pre-engineered metal building and fabricated rebar. Each product group was profitable in both the first and second quarters. Vertical integration has been a highly successful strategy for Nucor for four decades, generating attractive long-term returns for Nucor's shareholders. A critical factor driving this success is the fact that each Nucor's steel products division is managed as an expected to be a profit center. While our downstream businesses provide Nucor's steel making operations with a profitable base load of volume through the economic cycle, the mills must earn this business. They earn it through quality, service and competitive pricing. Another key to our success in downstream steel products is our ability to build market leadership positions. To that point, Harris Steel continues to be a powerful growth platform for Nucor and the rebar fabrication business. Last month, Harris announced an agreement to acquire Ambassador Steel Corporation for a cash purchase price of approximately $185 million. Based in Auburn, Indiana, Ambassador is a fabricator and a distributor of rebar. In 2007, Ambassador shipped 422,000 tons of fabricated rebar and distributed another 228,000 tons. With the completion of this acquisition, Harris Steel's rebar fabrication business will have more than double since being acquired by Nucor in March 2007. And Ambassador does more than just significantly grow the size of our business and that sort of expands our footprint through the Midwestern U.S., Gulf Coast region and into the South Eastern United States. The transaction is expected to close during the third quarter. We are looking forward to welcome the Ambassador team into the Nucor family. Dan?
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: Thank you, Ham. I'd ask John Ferriola's team to update us on Nucor's steel making operations and our scrap, bar, beam, plate, and sheet business. John?
John J. Ferriola - Chief Operating Officer of Steelmaking Operations: Thanks, Dan. Good afternoon. Thank you for your interest in Nucor. Second quarter of 2008, total steel shipments of 6.1 million tons set a new quarterly shipment record for Nucor. Shipments were up over 3% over the previous record set in this year's first quarter and were up 13% in the second quarter of 2007. First half of 2008, total steel shipments of 12.1 million tons were also on record and increased 9% from last year's first half. In addition to strong volumes, our mills achieved higher metal margins. Spread between our average steel mills selling price and our average cost of metallics for the second quarter increased to $451 per ton. That's a widening of $61 per ton in the first quarter's metal margin spread of $390 per ton. Above average spread improvement was realized by our sheet mills. As we noted on last quarter's call, flat-rolled market has seen a much healthier supply demand balance in 2008. These results demonstrate the Nucor's teams long standing ability to profitability manage volatility in our key raw material, scrap. I would like to congratulate and thank teams at all of our steel mills, for once again getting the job done for our customers and our shareholders, and especially for getting it done safely. Nucor's raw material surcharge has been an invaluable tool in managing the volatility in scrap pricing we have seen not just currently, but on a number of occasions going back to late 2003. In fact, our surcharge mechanism was first utilized in January 2004. Over the past four and a half [ph] years, every ton of steel sold by Nucor steel mills has included the surcharge as a component of the total transaction price. This includes all of our contract business which contains either a surcharge or a scrap buyback clause. We have read with interest recent press reports discussing assets by several of our sheet market competitors to retroactively apply raw material surcharges to their existing contracts. Those news articles have further noted customer resistance for those assets. That in turn has prompted investors ask Nucor whether we have encountered any such issues. For us, the answer is simple. It is a non-issue. It is business as usual for the first U.S. flat-rolled producer, who only write contracts with either the surcharge or buyback clause. While speaking of raw materials, we announced in May a new growth platform for our company. Nucor has applied for a permit to build a state-of-the-art iron making facility in Louisiana. Phase one of our proposal of course of building 3 million tons per year Greenfield blast furnace facility on the Mississippi River. Nucor Steel at Louisiana would employ the latest technology for emission controls and energy efficiency. The project's first phase would require an investment of about $2 billion. A potential second phase would build a second 3 million tons per year blast furnace for an additional investment of about $1 million. Nucor steel in Louisiana is a not a certainty, permits has to be issued and our Board has to approve the selection of the site and the capital investment. While the Louisiana site is the only one in the U.S. under consideration, we have other site outside the U.S. still under active consideration. Regardless of the ultimate site selected, this pig iron project will be a major step forward in implementing our raw material strategy to control 7 million tons per year, high quality scraps substitutes. It will build upon the success of our 2 million metric tons per year EOR facility in Trinidad. And Phase 1 would allow us to reduce our current open market purchases of pig iron. Even at the substantially lower pig iron pricing prevailing when we first began our planning, the economics for this project were very compelling. We look forward to updating you on our progress on this exciting project. I will now ask Mike Parrish, Joe Stratman, Ladd Hall and Keith Grass to update us on Nucor steel mill scrap businesses. Mike Parrish will lead off with his report on our Bar Mill Group. Mike?
D. Michael Parrish - Executive Vice President: Thanks, John and good afternoon everyone. Congratulations and thank you to everyone in our Bar Mill Group team for delivering a record second quarter and first half earnings. In addition to strong performance from our steel mills, record quarterly earnings were achieved by our coal finished bar, wire and fastener businesses. 2008 is our fifth consecutive year of record first half earnings for the Nucor Bar Mill Group. This growth record is driven by our team's focus and continually improving both our cost position and the value we provide to our customers. Our shipments for the second quarter and first half of 2008 also set records. Year-over-year second quarter volume increased 21% and first half volume increased 9%. I am very excited to announce that our Memphis Special Bar Quality or SBQ mill has begun start up of its mill shop. On July 1st, Memphis completed its first heat and within the week, we expect to begin testing and ship our first semi-finished product to customers. In addition, the rolling mill was schedule to start up in the fourth quarter. Customer interest in our expanding SBQ product line is very high, and our Memphis team is eager to begin supplying our customers with the high quality product. Third quarter outlook for the Bar Mill Group remains positive, strength in the non-residential, energy and agricultural markets will continue to offset the ongoing weakness in the residential and automotive sectors. Shipments and margins should be comparable to the second quarter, as we see steady demand, lower imports and favorable export opportunities. Finally, I want to thank again our bar mill teammates for their strong commitments to working safely, as they continue to excel, taking care of our customers and our shareholders. I will now turn over to my colleague, Joe Stratman for his report on our plate and structure mills. Joe?
R. Joseph Stratman - Executive Vice President: Hertford County, Tuscaloosa, Berkeley County and Nucor-Yamato. Through their excellent work, taking care of our customers, our plate and structural mills were able to report very strong profits for the second quarter in the first half of 2008. Starting with the plate business, both the Hertford county and Tuscaloosa mills, set new first half production and shipment records. Along with these productivity gains, our plate group reported higher earnings for the second quarter and first half of 2008, compared to year ago periods. Continual improvement remains a focus at our plate mills. A major achievement this quarter was Tuscaloosa's successful commissioning of the new temper mill on their cut to length line. The improved product quality of this line provides our plate team greater flexibility to manage product mix between the Hertford and Tuscaloosa mills thereby allowing each mill to concentrate on the products it runs most efficiently. This is just another example of how Nucor is optimising our existing facilities, and thereby executing on one of our key growth strategies. As we enter the third quarter, global demand for plate remains very healthy. Our order books are full. Our order entry rates are stronger than last year. Particularly, robust consuming sectors include energy, transportation; infrastructure and construction equipment. Plate market conditions also continue to be favorably impacted by low service center inventories, limited import offerings and continued strong export opportunities. Again I want to congratulate and thanks our teams at Hertford County and Tuscaloosa for your excellent results and achievements in the first half 2008. Turning to an update of our structural business, I want to congratulate our teams at Nucor-Yamato and Berkeley of setting new quarterly and first half earnings records for the Structural Steel Group. The Nucor Yamato team also set monthly records for melting, rolling and shipping tonnages in the month of June, and our Berkeley beam metals set new monthly production records in the month of May. Thank you to both teams for your record settings performances. We also continue to expand Nucor's product offerings with Nucor-Yamato becoming the first mill in the Western Hemisphere to produce 44-inch wide flange structural shapes. Theses beams are of particular interest to the highway bridge market. The product launch is off to a great start with Nucor-Yamato's first commercial run of these beams which was in May being completely sold out. In addition, we successfully commissioned the Castrip, Arkansas vacuum tank degasser in April of 2008. This equipment not only is required for our Castrip product, but also provides synergies for new Nucor-Yamato's production of jumbo beams. We expect our first commercial production to occur in the fourth quarter rolling cycle with some product coming to market this summer. Looking ahead, the beam market remains very strong in the third quarter with order entry rates and backlogs ahead of last year at this time. Energy and infrastructure projects continue to drive the robust market condition. Reduced imports are also contributing to a good balance between supply and demand. With extremely healthy international demand for beams, we also continue to receive export quotation requests from such areas as Mexico, Canada and Central and South America. In closing, I want to remind all of my teammates of our most important priority and that is to work safely. 2008 is off to a record-setting start and we continue to see a very bright future for the plate and structural groups. I will now turn it over to my teammate, Ladd Hall for his report on Sheet Mill Group. Ladd?
Ladd Hall - Executive Vice President: Thanks, Joe. Good afternoon. In the second quarter, our Sheet Mill Group's profits continue to improve compared with this year's first quarter and last year's second quarter. I too want to congratulate and thank our teams of Crawfordsville, Hickman, Berkeley and Decatur on these results. Our team was very encouraged by the strong performance in a period of sky rocketing prime scrap cost. Our raw material surcharge and scrap buyback agreement continue to be invaluable tools in managing these costs. As John mentioned in his comment, we've been utilizing them since the beginning of '04. We feel that they are also an important aspect in improving the transparency of pricing for our customers. Both our metal margin spread and our volumes benefited from a better supply demand balance in the U.S. flat-rolled market so for this year. Second quarter Sheet Mill Group's shipment increased over 12% versus last year's second quarter. In addition to a strong demand from our customers in the energy and Ag market, we continue to pursue profitable export opportunities. As I mentioned in our last quarter's call, our export strategy is focused on building long-term relationships with good international customers. For the third quarter, continued sharp increases in the price of prime scrap rate will be a challenge. But that is a challenge our sheet mill teams have successfully addressed on a number of occasions over the past four and a half years. Worthy of note also is that our Castrip facility in Indiana was cost affordable every month in the second quarter. This is a great accomplishment and we have high expectations of this continuing in the future. Congratulations to the entire Castrip team. I also want to mention what a great job our new iron team is doing at our DRI plant in Trinidad. After an extended shutdown in May, where we made the major improvements at the plant, we are up in producing DRI at record levels. Using higher percentages of DRI at our sheet and plate plant have helped moderate our input cost and improve our quality. We are excited to see that our new iron team continues to excel and find new and better ways to get more quality tons out, and we expect that to continue. On the demand side, overall end user demand in the U.S. continues to be stable. The demand picture varies by segment. The Sheet Mill Group is very fortunate to have a strong presence in energy, pipe and tube, ag, and heavy equipment markets. With most of our mills on the water, we are extremely well positioned to capitalize on attractive export business. On the supply side, import remain low and looking ahead press reports indicate that the number of blast furnace maintenance outages are scheduled for the second half of the year in United States. Build in our first half results, our team is looking forward to another successful year in 2008. Even better, we continue to work hard on a number of exciting projects to substantially increase our long-term earning power. These include Decatur new galvanizing mines that starts up in the fourth quarter of this year, our second Castrip facility in Arkansas will start up next year, our planned Mexican expansion and our new pig iron venture. Our team is succeeding by keeping safety as our number one priority, developing new value added products, producing outstanding quality, providing an exceptional service, and delivering on time to our customers the product they want at a competitive price. I'll now turn the time to Keith Grass, our EVP of DJJ. Keith?
Keith Grass - Executive Vice President of David J. Joseph Company: Thank you, Ladd. The David J. Joseph organization generated exceptionally strong profits in the second quarter. Our team was very pleased to perform at this level during our first full quarter as a member of the Nucor family. I want to thank the DJJ-Nucor teams for their excellent integration work over the past quarter. Those teams are now working together to explore the numerous opportunities in front of us. This is just the beginning of Nucor's profitable growth in the scrap business as we work together as one team. Both our scrap processing and brokerage operations benefited from this year's historic rise in pricing in the extremely active markets. Margins reached record levels at our processing facilities as we're able to capture a significant portion of the market increase. Plant was also up as the higher prices stimulated obsolete flows into our plant particularly into our shredding facilities. Both the domestic and export markets were very active and although we're primarily a domestic focused organization, we do participate in the export market at Tampa [ph] and Houston. Pricing also remains at highs, a significant benefit to us basically the amount of non-ferrous metals which generate through our shredding facilities. In summary, it was a record breaking quarter for our scrap business. It's important to remember that DJJ is not just a scrap company. We have a number of other highly attractive profit centers. Our rail and logistic services businesses posted strong results for the quarter. DJJ owns the largest rail car fleet in North America dedicated to transporting scrap. With both vigorous demand for our services and excellent turn time on our fleet, our transportation related assets earned strong returns for us. Most importantly as Dan noted in his comments, DJJ will be a growth platform for Nucor in the scrap business. That work began in the second quarter with our acquisitions of Galamba Metals Group and Metals Recycling Services. These purchases bring... purchases bring Nucor's total annual scrap processing capacity to approximately 5 million tons. The integration of these companies into DJJ is going well. We continue to evaluate numerous other potential acquisitions of scrap processing companies that have expressed an interest in becoming part of DJJ and Nucor. At the same time we're also exploring Greenfield expansions into some very interesting market regions. I look forward to reporting to you on our progress in coming quarters. And I will now turn it back to John Ferriola.
John J. Ferriola - Chief Operating Officer of Steelmaking Operations: Mike, Joe, Ladd and Keith, thank you for your updates. We expect continued very strong performance from Nucor's steel mills and scrap businesses in the third quarter. Dan?
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: Thanks, John. I've been a member of the Nucor team since 1982. I have never been more excited than I am today about our company's opportunities for profitable growth. Nucor's best years are still ahead of us. We thank you for your interest in Nucor and at this time, we will be delighted to take your questions. Question And Answer
Operator: [Operator Instructions]. And we will go first to David Gaglianowith Credit Suisse.
David Gagliano - Credit Suisse: Hi. I just have a couple of questions there to clarify the... so the outlook for Q3. What's the LIFO charge embedded in your third quarter target?
Terry S. Lisenby - Chief Financial Officer, Treasurer and Executive Vice President: $142 million.
David Gagliano - Credit Suisse: And that's consistent what we saw in Q2, correct?
Terry S. Lisenby - Chief Financial Officer, Treasurer and Executive Vice President: Well its up from...well, it's the same rate as the year-to-date through the second quarter.
David Gagliano - Credit Suisse: Okay, fine. And then if scrap prices were to stay flat for the rest of the quarter, would that LIFO charge be too high or too low?
Terry S. Lisenby - Chief Financial Officer, Treasurer and Executive Vice President: It would be about right actually, if they stay flat for the rest of the quarter.
David Gagliano - Credit Suisse: Okay, fair enough. And then just a quick clarification question on the...the other volumes, the volumes in the other business obviously jumped way up in the third quarter and I am presuming that's from the acquisitions. Is that a reasonable run rate moving forward? Is there anything there that we should be thinking about in terms of variability moving forward on the other line?
John J. Ferriola - Chief Operating Officer of Steelmaking Operations: Actually I think we all be disappointed if they went better.
David Gagliano - Credit Suisse: Okay, perfect. Thanks.
Terry S. Lisenby - Chief Financial Officer, Treasurer and Executive Vice President: Just a clarification, the second quarter LIFO was considerably larger than what we're forecasting for third quarter and that was to give us even for year-to-date, so that but was over two.
Unidentified Company Representative: It was 214
Terry S. Lisenby - Chief Financial Officer, Treasurer and Executive Vice President: It was $114 million.
David Gagliano - Credit Suisse: Got it.
Operator: We will take our next question from Tony Rizzuto with Dahlman Rose & Co.
Anthony Rizzuto - Dahlman Rose & Co: Thank you very much. Good afternoon, gentlemen. Just got a --
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: Good afternoon, Tony.
Anthony Rizzuto - Dahlman Rose & Co: How are you doing, Dan?
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: Good.
Anthony Rizzuto - Dahlman Rose & Co: So the plate market just looking at the results, I mean obviously you're very positive when you see what's going on globally. But it seems as if your volumes, your plate shipments were down a little bit sequentially if I look at the numbers correctly and it's quite obvious. It's quite possible, they have gone over that too quickly, but the volumes looked to be down about 6%. I was wondering if you could just help me square that with the comments that were made.
R. Joseph Stratman - Executive Vice President: At quarter-to-quarter, the volumes would have been down slightly due to shutdown that occurred in the second quarter that we did not have in the first quarter.
Anthony Rizzuto - Dahlman Rose & Co: And was this...?
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: If you go back Tony, excuse me and take a look at '07 and '06 and '05, you would see the same relative difference first quarter shipments higher than second quarter for the same reasons.
Anthony Rizzuto - Dahlman Rose & Co: Alright, gentlemen. And then if we could just take a look at... it seems like you've got a very good mix in the non-residential construction. But if you can just help me to understand a little bit better so we can respond to investors better about... if you could break that out. I know you've got a lot of different markets to serve, but if we could break it out from infrastructure including power, markets including road bridge, ship building. If we just break it out a little bit more from the more conventional kind of non-residential market that would be kind of commercial buildings related?
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: Well, we've got really track it the way, but we'll be able to answer your question. We could tell you qualitatively, which markets are stronger than the others and the guys have added.
John J. Ferriola - Chief Operating Officer of Steelmaking Operations: Coming out of that Dan is that's a little bit of a moving target, because we look into markets. And our products can go into a number of different industries that are moving around according to the demand. For example, right now anything associated with the energy is very strong and so a lot more of our products we'll put into the energy markets. And so it's hard to give a definitive breakdown, because of the moving target depending upon the demand out there in them all.
Anthony Rizzuto - Dahlman Rose & Co: Alright, John.
R. Joseph Stratman - Executive Vice President: And also I'll say that any of our products sticking to the non-residential construction market, that goes through distribution channels. Well, often times we will not have a first hand knowledge of what end product they end up with, whether it's bridges, or high rise, institutional, industrial et cetera.
Anthony Rizzuto - Dahlman Rose & Co: What percentage approximately would go into those markets through service centers? I mean we've seen inventories under pretty good control obviously, but is there any idea, any percentage guidance that you could give me on that?
R. Joseph Stratman - Executive Vice President: Of our structural beam market, I would suggest that the... it's in the area of 35% to 40% of our product that goes through distribution.
D. Michael Parrish - Executive Vice President: I would concur with that. On the bar side, we're about 30% to 35% that goes through distribution.
Anthony Rizzuto - Dahlman Rose & Co: Okay. All right guys. Thank you very much.
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: Welcome, Tony.
Operator: We will take our next question from Barry Vogel with Barry Vogel Associates.
Barry Vogel - Barry Vogel Associates: Congratulations, gentlemen.
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: Hello Barry. I thought you've retired.
Barry Vogel - Barry Vogel Associates: I can't retire because I just can't.
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: You're a North Carolina man, right?
Barry Vogel - Barry Vogel Associates: Well right now I'm in Cape Cod.
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: Oh, that's right, that time of the year.
Barry Vogel - Barry Vogel Associates: Yeah, it's that time of the year. Dan and your crew, I just want to tell that I've been following you guys for a long time, and not withstanding the worldwide strength, you know that's given you the ability, has the kind of volume you've had and the kind of profits, but on a strategic basis, I must admit everything you're doing seems brilliant to me. And I usually don't tell you that on the call because I don't want it to go to your head, Dan.
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: Believe me, being in the steel business, Barry keeps you humble.
Barry Vogel - Barry Vogel Associates: Okay. Terry, I have a question for you on your scrap business. I recollect but I'm not sure that the scrap business is on FIFO, is that correct?
Terry S. Lisenby - Chief Financial Officer, Treasurer and Executive Vice President: That's correct.
Barry Vogel - Barry Vogel Associates: And can you give us some idea of how much of your operating profits in the quarter was due from your scrap... was from your scrap business?
Terry S. Lisenby - Chief Financial Officer, Treasurer and Executive Vice President: No.
Barry Vogel - Barry Vogel Associates: It could be important because the scrap market was so strong and you're on FIFO, it could be that it had a lot to do with your increase in profits. Can you tell us --?
Terry S. Lisenby - Chief Financial Officer, Treasurer and Executive Vice President: I'm sorry, it certainly had an impact and we'll have... in the Q we'll have segment data that will help you a little bit with that. I don't have it and frankly I don't have it today.
Barry Vogel - Barry Vogel Associates: Do you know what the accretion was because of your scrap acquisition in the quarter?
Terry S. Lisenby - Chief Financial Officer, Treasurer and Executive Vice President: I do not.
Barry Vogel - Barry Vogel Associates: Okay.
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: As a relative contribution to... looking at the profits from all the operations, while the profits were very strong not only historically, but even from the month earlier and the month earlier in this historic time, I would tell you Barry that's not where you are thinking you are going with that question, it's not having that big an influence by itself.
Barry Vogel - Barry Vogel Associates: And Terry, can you tell us what your D&A estimate is for the year?
Terry S. Lisenby - Chief Financial Officer, Treasurer and Executive Vice President: I am sorry
Barry Vogel - Barry Vogel Associates: Your depreciation and amortization for the year?
Terry S. Lisenby - Chief Financial Officer, Treasurer and Executive Vice President: Okay, it's... depreciation for the year is $490 million is our estimate.
Barry Vogel - Barry Vogel Associates: Okay that's D&A. Now you mentioned each person that spoke about steel to a person mentioned export. Last year, when you talked about the export market you were only talking about long products. And again, that's a very... it's a generalization. And I think you told us at the end of last year that you shipped about 2 million tons into the export market, is that correct?
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: Yes
Barry Vogel - Barry Vogel Associates: And when you say exports is everything else --
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: Compared to earlier, you only have the same pace this year, although we have turned away a lot of business.
Barry Vogel - Barry Vogel Associates: Because you don't have the capacity?
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: Just wanted to make sure that we would take care of our domestic customers
Barry Vogel - Barry Vogel Associates: Okay that makes a lot of sense. Any way, thank you very much.
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: Barry, before you go, I just wanted to qualify my statement earlier about the DJJ's contribution. It's a relevant thing. It's not out of proportion with how well the rest of our business lines are doing. So I mean we just have to basically say that, you know the entire ship went up together on a very even keel and very stronger.
Keith Grass - Executive Vice President of David J. Joseph Company: Barry, just one other thing to remember, the inter company profit gets eliminated. So the DJJ profit that flows that would've normally come from their sales to Nucor goes away on a consolidated basis.
Barry Vogel - Barry Vogel Associates: Okay, thank you very much.
Operator: We'll go next to John Hill with Citi.
John Hill - Citigroup: Hi Dan, thank you and congratulations on a strong result and also for shedding light on some numbers that are really moving around a lot.
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: You're welcome and thank you.
John Hill - Citigroup: Dan, I was wondering if we could revisit to your comments about EBIT per ton. Obviously, a very central metric, $118 in the quarter. To some eyes that might be pretty muted given the biggest rally in scrap and... sorry, in steel both in recent memory. But this does as I understand it, it also include a fair bit of brokerage scrap in that other category at quite low level profitability and if we would back that out, that suggest that on apples-to-apples basis, this EBIT per ton is probably closer to $135 or $140, which would be creeping up back towards the company's all time records and also be commensurate with the strong earnings results. Can you help us put in context to how we should read the EBIT per ton numbers and characterize the strengths or weakness of the business?
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: You want to jump in here, you want to say something. You are free. I think you're... we wouldn't disagree with your argument. In terms of the absolute numbers and how they might turn out, don't have those handy in front of us out here, but we will work through those numbers they have, they certainly haven't shown the media but I would not argue with the basic premise and magnitude of your comments.
John Hill - Citigroup: Great, thanks. And then just as a follow up, it seems like this press release for the first time notes some down... some softness in the downstream, the building systems et cetera, and its obviously something that still like it was on the horizon for a while. What's really changed in the business, the order book, the order entry et cetera, I mean that we can guess but as I still wonder if you could shed some light on what the statement was there?
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: Well the first... the major part of that statement, as frank and hence correct me if I'm wrong on this, has to do with respect of our downstream businesses have to pass along the significant steel price increases that they have been awarded by their sister companies and divisions. So how effectively those price increases are passed along will determine a lot of that how profitable they are going to be and Ham Lott, you want to add to that?
Hamilton Lott, Jr. - Executive Vice President: Yes, we fact it. We face a double edge sword in the second quarter. Number one like Dan was saying, we've obviously seen a record price increases in steel as I've said and we don't have the ability to cover our backlogs with the inventory. So we're always trying in these times just like in 2004. We're certainly attempting to very aggressively get our prices up because we know the higher steel prices are going to flow to us, that's number one. Frankly, the other half of those statements is just the slowdown in bidding and the general pessimism that we're starting to see from AIA statistics and also architects, engineers, contractors, fabricators you can just feel the storm clouds gathering on the non-res commercial or construction markets. So we've got both of them, we've got the hot steel prices coming out as same we've got the market.
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: To add to that, there are some if we take a look at the certain businesses, we may have some of that issue in other businesses like the pre-engineered metal buildings and are the things are still on the uptick and still positive and with the integration of growth to our Magnatrax operations, we see growing profitability there. And this when Ham mentioned the non-res, what he is really referring to is not the overall non-res market, but the one that part of the market that's really impacted by the housing downturn, which will involve the low-rise strip malls, shopping centers, a lot of places where some joist material would be going. But overall, if you take a look at our downstream business for fasteners, the cold finished bars or deck, or grading, or finished metal buildings it's the biggest issue they're going to have, is going to be getting price increases through a timely fashion.
John Hill - Citigroup: Got it, great perspective. Thank you.
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: You're welcome.
Operator: We will take our next question from Mark Parr with KeyBanc Capital Markets.
Mark Parr - KeyBanc Capital Market: Hey gentlemen, good afternoon.
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: Afternoon Mark. Hey you want to go visit in one of our mills?
Mark Parr - KeyBanc Capital Market: Well I'm going be in Italy with my mother-in-law, so I'm looking for all kinds of excuses.
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: Oh, you know she might be listening today --
Mark Parr - KeyBanc Capital Market: Alright, well, you caught me on that, so if you could help me out though I appreciate it. Yes, I had a couple of questions. I'm looking... one of the things I always do over the course of the conference call is that I look at the way the market is trading your stock and it seems like the market is becoming more concerned as opposed to less concerned. And I was kind of wondering, I was going to try to see Dan if you had any comments, I mean, we've been talking about this non-res situation for a long time, it doesn't really seem to be having an impact yet. People then like we're have been, kind of been talking about the light side of the non-res market being weak for some time.
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: Right.
Mark Parr - KeyBanc Capital Market: I'm just wondering though if you can, is there anything really different that you're seeing maybe scrap is up; mainly on the prime side of the scrap maybe that hurts the flat-rolled side a little bit in the third quarter, maybe not. I'm wondering what you can do to offset that perhaps. I'm really kind of curious like what's really different, is there anything different in the outlook than what you've been seeing over the last three or four months?
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: Well, one of the things that again has always helped us, Mark and I'll keep coming back to this and I think our long-term shareholders fully appreciate this, I know you do. But I'll repeat it, it is the diversity of our product mix. And that diversity has been expanded now into a raw material segment. Whether it be with our DRI plant, which is a huge hedged, 2 million tons against prime steel price... prime scrap pricing, the profitability, the extremely profitable operations at David J. Joseph and we had diversity of product mix and a strong profitability in the DJJ operation, that's gone a long way to help us deal with whatever issues we might have on flat-rolled, and of course on our long products and plate, majority of the players are all scrap-based. So, we continue to enjoy very strong margins. As Ladd mentioned, the margins of flat-rolled have increased year-over-year, quarter-over-quarter. We shipped record tons, and sometimes I wonder, people, we tend to be conservative in a way that we look at things, for a good reason, and we've been surprised negatively before. The world has been surprised negatively before. And so when we give our guidance for instance year-after-year, quarter-after-quarter-after-quarter, we do our best to give it our best estimate, but we don't take risks and don't do stupid things with our forecast and only give an update. And even with the updates, sometimes we can surprise ourselves because of the amount of shipments that can take place and it's like a five week months, when all the said and the real cost and the truck show up and we got the business shipment right to go out the door and now we got the cars to do with our team. Our employees they just get it done and they get it done big time and it has an impact well across the company at every division and we end up with very strong numbers. In our forecast for third quarter, I hope people are not mistaking the fact that the forecast, our guidance forecast is 180 to 185. I mean, well, that's same forecast that I have in the third quarter... in the second quarter. The reality is if you take a look at the absolute earnings, we are forecasting a third quarter that will be a record quarter. It will not only be a record third quarter, it'll be a record quarter of any quarter ever in the history of the company.
Mark Parr - KeyBanc Capital Market: Right.
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: So we certainly are not down in the way that we're looking at third quarter, but I certainly have sense today that for whatever reason people have the wrong reasons out there in what they do from one day to the next, go up five bucks one day, they are down five bucks the next day, I mean it's absolutely silly. When we demonstrated time and time again our successful performance, improving performance, continued record performance. We are on a record pace again this year, significantly greater than our past record pace. And is to be nothing in our press release and our guidance tells anybody that we're thinking that third quarter is going to be anything less than another record. How much of a record? Well, we'll all learn as you go along. Right now, I think that's pretty optimistic.
Mark Parr - KeyBanc Capital Market: Well, I... and that's kind of what I thought. So I just want to make sure, I was getting it from the horse's mouth so to speak. So I really appreciate your response there. Just one other point of clarification if I could, in your third quarter, can you give us any color on where you think metal spreads would be relative to the second, and then I will pass it on. Thanks, thanks again very much and congratulations.
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: Thank you. Thank you very much, Mark. In terms of metal spreads, we have raised prices, just made recent announcements on bar, on plates, on beams. We are up $65 a ton on beams and bars. We are up $100 a ton on plates. We have not made announcement on sheet, but that will be coming out here probably early part of next week, on Monday. And so certainly the direction of pricing is not flat, it's not down, it's up. And with the global demand for our products, the way it's been and the lack of imports, we are just in that direct, as I said before many times, we are in a direct opposite condition we were in 1999 and 2000, where we had great demand and lousy profits, because the world was flooding our shores with excess steel. Today, we have just the opposite of that. And demand is good globally; raw material prices as a result have gone up. And we have been able to have pricing power and we see that continuing into the third quarter. So I was fully expect margins will expand in many cases and where volumes end up, we will know at the end of the quarter. But that's kind of we are forecasting another record quarter for third quarter. John, do you have anything you would like to add?
John J. Ferriola - Chief Operating Officer of Steelmaking Operations: Yes, I just wanted to make a comment on the first part of the question, if I may Dan. Sure, there was a good point you made, because there seem to be a lot of activity here in the questions. And I would like to mention some of the positives that we see. World demand, and these were within our various updates. World demand continues to be very, very strong. Low imports help the supply side of the equation. Consolidation continues in our industry. Just recently [indiscernible] picked up [indiscernible] and WCI further and Stallus [ph] point to further consolidate the sheet market. And consolidation has led to a better supply-demand balance, and it will continue to as consolidation continues to go up. Exports, because of the strong world market, demand in the market and because we spent the last year positioning ourselves in a great opportunity to take advantage of those opportunities as they come along. So there is a lot of positives out there.
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: Metal just brought --
John J. Ferriola - Chief Operating Officer of Steelmaking Operations: Metal just brought by --
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: Downstream you see commercial metals get back, continuing to consolidate the rebar fabrication along with Nucor. And then actually you see more consolidation going on. And listen, this energy issue is not going to go away. It's... the time has arrived for leadership in Washington to take bold measures, to take advantage all of the energy opportunities available to us, drilling out on the other Continental Shelf, opening that up, not just saying and yelling about where you get all these leases already and you are not doing anything like a bunch of horsemen, we need to open that up, drill up in the anti-wire [ph] area, but do it responsibly and it can be done, and off our coast and we need to be doing at Tar Sands, we need to be doing building more power plants of all types so that we can transition to a carbon free environment 20, 30 years down the road. But we need the power and energy to get there. And we don't need to be held hostage anymore and the result of this is, we are going to see huge infrastructural boom in this country and in naphtha. And it's not going to slowdown other places in the world. So, we haven't seen that yet. We've seen the beginnings of it, but we are very, very bullish about what's going to happen with respect the energy of all types. Alternative energies, the wind mill business is huge, we need all of that. We need to have a massive effort like the power program to go out there and use all of the alternative forms, develop them to the point where they are doing enough of... carrying enough of the load that we can move away from the areas that we are most concerned about. Carbon based fuels and make the carbon based fuels reuse, cleaner to use by developing in technologies and the monies that will develop need to go into those areas to continue and further develop those. And we need that rational approach. As the majority of Americans, 76% of Americans want that to happen. In one of these days, when our leaders in Washington have got to wake up and take advantage of what the American people want and talk to them, the way President Reagan used to and get this damn job done and we will all benefit from it and it's not that far down the road. And if there is any politician out there that think the American people aren't going to stand up and say enough is enough, they are kidding themselves. So we are very bullish on what's going on in the world. There will be short term ups and downs, but overall we are very bullish on the next 20 to 30 years.
Mark Parr - KeyBanc Capital Market: Okay Dan, thanks again.
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: Thanks, Mark.
Operator: We will take our next question from Bob Richard with Longbow Research.
Bob Richard - Longbow Research: Good afternoon and thanks for taking our call.
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: You bet, Bob.
Bob Richard - Longbow Research: It seems like your realized sheet price might have been a little bit behind market spot pricing. Am I interpreting that right, are you in agreement with that and if so, --
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: I don't think so. I will give us an answer here in a second. Repeat your question for us.
Bob Richard - Longbow Research: Yes, it just seems to me that your realized sheet price though was just a little behind market spot pricing. Would you agree with that statement? Is there some catch-up here available in the next quarter? It just seems that your realized sheet price is $872.
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: Are you talking about for the second quarter?
Bob Richard - Longbow Research: Yes sir.
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: Yes. Remember now, some of the pricing you are looking at, I think is third quarter pricing. Are you sure you are not comparing the third quarter price increase announcements with the price realizations that were achieved in the second quarter plus this also includes contract business, okay, which is not just a spot number and we have about 40% contract.
Bob Richard - Longbow Research: 40% contract.
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: Right, and while we get the surcharge 100% on our contract business, you will see scrap swaps or through direct surcharge application, the base price doesn't change and so those contract numbers, while our margins will be as good as they are on spot today and sometimes better, the absolute price will been lower than spot, so that's diluting down that number. Does that help answering your question?
Bob Richard - Longbow Research: Yes, sir. It just... we have an internal benchmark here that compares your realized sheet to what the spot market prices are, and interesting they sell a little bit behind here this quarter, but I can take that up with Greg offline. Just a follow up --.
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: Keep in mind that it's a mix of spot and contract in this price that you see in front of you.
Bob Richard - Longbow Research: Understood, thank you for that.
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: You're welcome.
Bob Richard - Longbow Research: And in Italy, are they not long enough over there at all to build a Castrip or, is that possibility over there?
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: They have enough excess melt to use Castrip in Italy, is the question.
Bob Richard - Longbow Research: Yes, sir.
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: At this time no, but we are in a process and I understand that it's well underway to expand the melting capacity by about 40%.
Bob Richard - Longbow Research: Right.
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: So, whether we will use the Castrip in association with that additional tonnage or we will build an operations from scratch with the furnace to do Castrip, both of those are possibilities. Is that correct, John?
John J. Ferriola - Chief Operating Officer of Steelmaking Operations: Yes, that's correct. We have a lot of growth opportunities in Italy with the joint venture and we are exploring a lot of different possibilities on how to best execute on the growth that's available to us. And it certainly could be... it will be growth in the hot metal and where we put that hot metal in terms of downstream product is still something we will continue to discuss.
Bob Richard - Longbow Research: Okay, I could.
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: That's including, Castrip.
Bob Richard - Longbow Research: Okay, I appreciate that color and a great quarter.
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: Thank you.
Operator: We will take our next question from Evan Kurtz with Morgan Stanley.
Evan Kurtz - Morgan Stanley: Hi good afternoon, gentlemen.
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: Good afternoon.
Evan Kurtz - Morgan Stanley: A question on global supply, you know we have been hearing a little bit recently how the growth in global supplies be constrained. In part because of the length of time it takes to build new steel facilities from equivalently time to lack of engineering resources and labor. Now that you guys have kind of I assume have done a lot of the preliminary research on the Louisiana project, just kind of wondering what you are seeing along those lines and kind of how that compares to when you built your last blast furnace back in that say, it's about five years ago, at Pergusa?
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: Oh, there is many blast furnaces in Brazil. I don't... that was, project of Brazil was not under our control to begin with, that was done through the majority owner CVRD now known as Valley. And we had people down here supporting the construction and the start up and the operating, but they really controlled, and they were smaller furnaces and I don't think there was much of an issue with respect to the equipment. And based upon our lengthy analysis and progress on the Louisiana project, I have not been aware... been made aware of any things that have gone up to delay the project, the equipment. But, anybody wants to jump in here and confirm that or not, please feel free to, Joe?
R. Joseph Stratman - Executive Vice President: Yes. First of all, we've been in a process of working on this project for about 9 months or 10 months now and immediately recognized particular critical pass equipment issues and tried to get ahead of those. For instance, one of the biggest critical pass that we'll have is in the power plant and the turbines and we did see that there the delivery times and lead times for that type of equipment were way out and we actually found an alternative and we have already purchased some used turbine equipment at a much substantial discount to new that will help our budget. So we've tried on anything that we see or we have seen out there that would be a critical pass item, we've tried to get a head of it.
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: We went out and did a little searching and found some very good rarely used turbines and two of them, well we got two of them for let's see, what we've paid for one would have been about one-eighth the cost of a new one that we were being quoted and we got two of them in that price. We did... it's like one-sixteenth the cost when we look at it from that standpoint. That's typical Nucor, people going out and doing Nucor things and not being satisfied to hear that's going to take forever to get a steam turbine and we found two that are being reconditioned and work great for a long time.
Evan Kurtz - Morgan Stanley: Sounds like a good deal. If you had been embarked on this project a couple of years ago, would you think that you could have done something like this or not at Nucor but anybody who is trying to build a blast furnace now could have done the project in the much shorter period at time or have things changed?
R. Joseph Stratman - Executive Vice President: The only place that things would have happened in a shorter period of time would potentially have been China and only if you just bought something basically of the shelf of the Chinese Wal-Mart store. Other than that, if you wanted to design your own equipment and you wanted to use the normal high quality, let's say manufacturers and engineers then it would have been no different, because they already were working on all the projects in China anyhow two years ago.
Evan Kurtz - Morgan Stanley: Okay, great, thank you.
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: And I think we might be getting to the point in time where we'll see less of an issue from this point forward than we would two years ago. Next question please.
Operator: We'll go next to Timna Tanners with UBS.
Timna Tanners - UBS: Yeah hi, thank you. Just want to ask two questions really, one was on the export side. You talk about your export opportunity and obviously very well positioned geographically, but the exports has been kind of flat year-over-year. What would make that change? Is there a structural reason that hasn't changed or is it more... is the domestic market were weak to weaken that you might increase your export? And then secondly, I wanted to ask about the inventory seems to be less a bit more than usual this month as last quarter if you could please explain. Thanks.
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: Okay Timna, thanks for the questions. On the first question, we could have done significantly more export. Probably 50% more export than we have, but we opted not to, to make sure we took care of our domestic customers. And so we have been turning away business throughout the first six months of this year and that's why the numbers are flat with last year's. But still over 10% of our production is going to export, I think somewhere around 12% or something like that. But... okay 8%, got my numbers wrong. Now I'm told, 9%. We'll get it right here yet in a second Timna. But on the order of 8% to 10% over the last two years, but we could... the only thing that was restricting us from taking advantage of more and doing instead of 1 million tones a year, doing 1.5 million tons a year even more than that was our own guidelines that said be sure you're in a position to take care of your domestic customers and then take advantage of international market or where you felt like you still had room in your schedules with our improved productivity and our record setting paces. And also we turned some things down because we want to make sure that we are building relationships for the long-term and not just taking advantage of once every ten years opportunity to export steel. We wanted to develop relationships that people are going to keep coming back to us, to keep... to be their supplier for year-after-year-after-year-after-year as long as the future. And the second part of the question, I'm not sure I've got that. Timna, if you would please repeat it.
Timna Tanners - UBS: Yes absolutely. I mean on the inventories, just observing that balance sheet number rose significantly, I think on a days basis it went 54 from 47 in the first quarter. Is that the FIFO impact to scrap? What might that be attributed to?
Terry S. Lisenby - Chief Financial Officer, Treasurer and Executive Vice President: A big portion of it is the DJJ increase and of course the rest of it, for the most part is just the increase in scrap levels.
John J. Ferriola - Chief Operating Officer of Steelmaking Operations: And keep in mind DJJ failed to Nucor be eliminate when you look at the turn rates. The turn rates technically does pull down, because inventories melt in the time they gather the processing yard, so we ship it as a finished steel product.
Timna Tanners - UBS: Okay so just to remind.
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: That makes sense?
Timna Tanners - UBS: Yes, no, I just wanted to make sure, fair lot of people were asking me if it was finished, and I thought it was scrap but I just wanted to make sure.
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: It's got nothing to do with a slowdown in business, that's probably where that question is coming from.
Timna Tanners - UBS: Yes, definitely. So just to clarify on the exports then, if there were to be a significant slow down in non-res, do have the capacity to adjust exports if you choose to, is that fair?
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: On moments notice.
Timna Tanners - UBS: Got it, thank you.
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: Thank you
Operator: We'll go next to Michael Willemse.
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: Hello, Michael.
MichaelWillemse - CIBC World Markets: Thank you and hello. Could you just comment back on the export business? Which markets are I guess the best market regions right now?
John J. Ferriola - Chief Operating Officer of Steelmaking Operations: Well, Mexico is strong, Canada for us is strong, and outside of naphtha, Central America, South America and Latin America in general are strong markets for us.
MichaelWillemse - CIBC World Markets: And would you say most of that are getting stronger kind of just stable or any other color there?
John J. Ferriola - Chief Operating Officer of Steelmaking Operations: Could you repeat that?
MichaelWillemse - CIBC World Markets: Could you repeat that which markets would say are getting stronger, which are ones are stable, which ones might be kind of softening a bit as far as the export markets?
John J. Ferriola - Chief Operating Officer of Steelmaking Operations: I can't. I don't see any one that's softening, but the ones that are growing for us, strengthening for us Central America, South America.
MichaelWillemse - CIBC World Markets: Okay.
John J. Ferriola - Chief Operating Officer of Steelmaking Operations: Mexico we are doing well in Mexico.
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: We also like exporting into Europe.
John J. Ferriola - Chief Operating Officer of Steelmaking Operations: We do export into Europe.
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: Next quarter into the Middle East, Mediterranean.
John J. Ferriola - Chief Operating Officer of Steelmaking Operations: Africa, that whole region.
MichaelWillemse - CIBC World Markets: Okay, thanks. And just one more question, if you could give us a sense on your order book backlog, number of weeks in your flat-rolled business and your power business?
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: Well I would say about our backlogs are, in all cases our backlogs are stronger this year at this point of time than they were last year.
MichaelWillemse - CIBC World Markets: Okay. Thank you.
Operator: We will go next to Aldo Mazzaferro with Goldman Sachs.
Aldo Mazzaferro - Goldman Sachs: Hi Dan.
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: Hey, Aldo.
Aldo Mazzaferro - Goldman Sachs: Hey, could you talk a little bit about this scrap market, the prime grades, and thick iron beam around almost 900 or so and the shredded grades around say 600. What kind of a blend can you use in your flat-rolled mills today? Does that need to be 50:50 prime versus shred or can we do more shred?
Ladd Hall - Executive Vice President: I'll try and take that one a little bit. I mean it's not a set amount. We're doing a lot of work with our DJJ friends and we are making actually shred better in the spread. We are lowering our copper levels on the lower materials. We are using more percentage wise as the shred that we ever have. As Dan mentioned before, we have a higher percentage of DRI going into those, because of our productivity in Trinidad. So, we're pretty flexible at our flat-rolled mills today in what we can do, and how can we use it.
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: Contemplate savings into inflection rate et cetera.
Aldo Mazzaferro - Goldman Sachs: 20 and 30.
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: But the prior... what Ladd just mentioned was that on a prime grade, which would preclude bush language would include number one bundles with pig iron and DRI. The range of that total amount of those together that we'd use in the... tons by packaged fuel we're going to make, but it might range from what Ladd, 30 to 50%?
Ladd Hall - Executive Vice President: Yeah, probably high enough, 40% to 60%.
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: That's if you include at all the pig iron and DRI along with the prime grades of scrap, just the prime grades of long somewhere between 20% and 30%.
Aldo Mazzaferro - Goldman Sachs: Correct. So you can keep your average cost of scrap a little bit below the mid point of those two numbers, I would say, as far the index price that as we see?
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: Absolutely.
Aldo Mazzaferro - Goldman Sachs: Yes.
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: Actually with the bundling programs that we're working with our DJJ partners and the DRI coming in from Trinidad, you bet.
Aldo Mazzaferro - Goldman Sachs: Yes. I just want to ask two other questions, Dan. On the... first one on the guidance that you're giving for the quarter, would it be fair to say that you being a conservative guider as you mentioned, that you're taking the high scrap cost in the market today and the LIFO charge that you expect in working those in, but possibly not working in those price increases that you've been implementing as you go through the quarter?
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: That's not really the way the guys work up this forecast. They try and take the best guesstimates on all of the factors involved including where we think scrap prices might go, timing on the price utilizations, timing on the scrap increases the actual flow through to usage point, which is where it affects our costs. And I guess we really ended up sandbagging on this second quarter and not intentionally believe me.
Aldo Mazzaferro - Goldman Sachs: Yes, I know.
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: But things just kept getting stronger as we went through the quarter and shipments get getting better and production was running well and prices were increasing. And it's when you have a dynamic situation for both your raw material prices and your steel prices are going up, actually targeting how that margin is going to move sometimes...most times, pretty difficult for us. I'm sure these folks can do a better job, but on top of that, we come up with a range of forecast and we tend to adopt a conservative view of where we'll end up. And certainly not from our original forecast where we ended up at 193. That was a very pleasant surprise and as we've already said in our forecast for the third quarter, we're basically forecasting another record quarter.
Aldo Mazzaferro - Goldman Sachs: Great. And then on a different topic to the... the $3 billion of capital that you raised, Dan, I think people are obviously wondering a little bit about the uses and I can see that big project in Louisiana possibly using quite a bit of it longer term. I'm just wondering kind of a two part questions, would you... would you be able to detail a little bit for us what the timing and the implementation of that cash would be? And secondly, would possibly, I know in the past you've been a reproducer of your shares when the price gets right. Would some of that cash possibly be used for a repurchase of shares?
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: Well, it would be kind of silly for us to be issuing shares and repurchasing shares.
Aldo Mazzaferro - Goldman Sachs: Different price I mean.
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: All on the ranks of really a short period of time. I know what you mean, but when you say look at the price, but we didn't do this to arbitrage or hedge, or play games in the marketplace with our stock, or take advantage of losing our stock. We did this because we know what's in front of us in the way of opportunities. And the exact timing as to when those will fall into place is we have some ideas on it, sometimes they get delayed little bit, sometimes they get stuck up a little bit. And all I can tell you is that we have more opportunities than we took advantage of the market together additional capital for. And one day, you're going to hear about another deal of size of David Joseph, or Harris, or Duferco, and may be something bigger than those, may be a bunch of little ones are going to fall into place here. But all I can tell you is that, you know, our guys are just going in ten different directions at once with a number of opportunities going very slowly, very cautiously, very deliberately to do it the way we have always done it. But now that money is going to be used principally for acquisitions and growth of the company and as Terry has mentioned, some of it's being used to deal with the higher cost of our raw materials and our cash flows and what have you, so but the majority of it for growing the company profitably the way we've been doing the last eight years.
Aldo Mazzaferro - Goldman Sachs: Okay. Just finally for Terry. Terry, did you say the depreciation for the year would be 490?
Terry S. Lisenby - Chief Financial Officer, Treasurer and Executive Vice President: 490 million.
Aldo Mazzaferro - Goldman Sachs: So that would imply lower numbers than in the second half than the first?
Terry S. Lisenby - Chief Financial Officer, Treasurer and Executive Vice President: Well we're $231 million though the first half in depreciation. Now there is another $70 million or so in amortization for the year.
Aldo Mazzaferro - Goldman Sachs: Oh okay sorry I was grouping them together okay, thanks.
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: Thanks.
Operator: We'll take our next question from Michael Gambardella with JP Morgan.
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: Hello, Michael.
Michael Gambardella - JP Morgan: Hi Dan, how are you?
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: Good.
Michael Gambardella - JP Morgan: Good. Hey, I kind of have the same question teed up for you that Aldo just asked, but you know my question is look, we know you are very bullish on the outlook for your company and for the steel industry and you know one of your customers the biggest service center in the U.S. had their call this morning and it was also painted a very bullish outlook for the domestic steel markets.
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: Okay.
Michael Gambardella - JP Morgan: I know you just issued equity at 74, I think it was $74, but you have almost $3 billion in cash sitting there, you could have a pretty sizable return and you know it's kind of no matter what you say on this call or no matter what I say, the clients, if there's a move in people that sell your stock and it seems to be pretty strong with stock down 12%, 15% while you're talking, don't you think it would be prudent to use some of the cash to buyback shares, in these... in what maybe you consider or I consider a logical move?
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: Even if we were considering that I wouldn't talk about it.
Michael Gambardella - JP Morgan: No, I know. But there must be some price on the stock that you would say, okay, we'll take some of the cash on our balance sheet, and we'll get it as a very strong return and it's not... no one's going to say your arbitraging the market by issuing equity and all of a sudden your price falls to 25% and you buy some back?
Terry S. Lisenby - Chief Financial Officer, Treasurer and Executive Vice President: Remember some of that cash has already been deployed, so that was a year... that was a quarter end number. And we are down from that because we've done the Italian joint venture, and also some of that cash is in Nucor-Yamato. So I don't think it as easy as looking at the cash on the balance sheet like Dan said, you are not aware of the opportunities we've got in front of us, we didn't raise the capital to buy shares back.
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: You make a reasonable point Michael. Is there some point at which we would consider doing that? In the past, we've always said that buying shares back would be something that we would do if we didn't have the opportunity to grow the company. But things have progressed and there was a period there where we had plenty of cash and things seemed to back down a little bit, so we did buy a fair amount of share back... stock back and things have changed a little bit and we've got a lot of great opportunities in front of us. And if for some strange reason we weren't able to execute on those, we would look for the best use of our cash that's what we'd like to... I want to say about that at this time.
Michael Gambardella - JP Morgan: Okay. And then Dan, could you may be talk about what was the some of the reasons why the second quarter was so much ahead of your revised positive guidance recently?
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: I think we talked about it in the press release, pretty basic things. Our margins were better than we anticipated, the shipments were better than we anticipated and we're not a small company so it adds up in hurry. We were very pleasantly surprised by how well our scrap assets contributed to the company and it also... it's really the first full quarter of that, that's been part of the family and so we're looking at... they're probably looking at and been very conservative in their forecast and we're being a little conservative and as we've learned exactly what the potential is for contribution, we're very pleasantly surprised. And a lot of our balance string businesses did extremely well, getting their price to pass to and it all added up. I am not going... I hope I'm not in the position where I have to apologize for the fact that we did extremely well. I may be apologize for not being a good fortune teller, but if it was up me we wouldn't be giving any forecast period to satisfy the short term wins of some investors. We've always said we're in this for the long-term. We're going to make the right decisions for the long-term and the earnings will take care of itself. But I would hope people would do, but I can't force them to do, as I would look at the continued track record, excellent track record year-after-year, quarter-after-quarter. Yes, everybody is doing better, but if you're taking a look at who is making the best use of the good times, you're going to pretty hard best defined by who's doing a better job of it. And at year end we will have good news and bad news, and I believe the shareholders, the right shareholders were reverse to that. And if stock is down as much as you save this, I would argue because there is an excellent buying opportunity.
Michael Gambardella - JP Morgan: Thanks a lot, Dan.
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: Thank you, Michael.
Operator: We'll go next to Wayne Atwell with Pontis Capital Management.
Wayne Atwell - Pontis Capital Management: Thank you. Dan, congratulations on a great quarter. Pardon!
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: Thank you.
Wayne Atwell - Pontis Capital Management: Yes, how you're doing?
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: I'm fine. Wayne, how are you?
Wayne Atwell - Pontis Capital Management: Good, good. Great quarter and congratulations on a great strategy you've been pursing for many years.
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: Thank you.
Wayne Atwell - Pontis Capital Management: You're becoming a fairly meaningful share of the U.S market, and obviously there is a number of opportunities, but one would assume that with the U.S. such a small percentage of the world, boarding on maybe 8% to 10%, that you would really have to go overseas, obviously you've started that. But in five or ten years, could you have a business as large offshore as you do onshore, because it seems like you're really going to have to go offshore to continue to grow at the rates you have in the past?
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: Well, Wayne, In general, I wouldn't fully disagree with you. I think we will have much more sizeable footprint internationally 10 years from now than we have today. And we'll be as big as we are today from a steel making standpoint, could be, could be. That would be a lot of successful opportunities that we would have executed on. Certainly could be about half of where we are today that should the amount of issue in terms of what we are looking at. But I would disagree with you quite a bit that there aren't opportunities within that for a considerable growth yet. And you have to look at that from the standpoint of all of business units that we... the businesses that we're in, basically in the vertical path. And is more room for us to grow our steel business? Yes, but is significant more room for us to grow both upstream and downstream. And so I think going forward, the growth within that will be more weighted towards the upstream and the downstream, but there will also be growth within the steel making because as I said on the road show that we had for the equity, I believe that the U.S. will be, the steel industry will be ale to take advantage of export opportunities for a decade, if not more because we've got very, very, very fundamental problems with our debt, with our trade deficit, the dollar has gone not at not where it was in the 90s, it's going to be weak... considerably weaker, or consider weak currency. Historically if not, but it's going to be considerably weaker than we saw in the 90s that will put us in the export opportunity for us to our customers and ourselves directly. I believe globally the world is going to be chewing up a lot of steel with ups and downs, but more often than that chewing up a lot of steel and so that will keep them force to a relative minimum here by historically standards. And so all the dynamics are going to be for us to grow our steel making operations here in North America, and our up and downstream and they are growing internationally. Yes, as Mike said a minute ago, we are very bullish.
Wayne Atwell - Pontis Capital Management: The one... you've seem to have gradually over the years gotten into one market after another and quite successfully. There is that one area you really haven't got into it in big way is energy. Obviously, in place which is used in transmission pipe and such, but any thoughts based on the demand for trying in India over the next 20 years, there's going to be phenomenal demand for energy. Any thoughts on stepping up to that area and putting few more resources to work in that market?
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: Wayne, that's always an area for us to look at for growth from... I think it's well known that we participated in a couple of auctions. I've been involved companies that were very strong in the energy area. We walked away because they have got too down expenses and one of them most recently resold in part, but that's certainly an area for growth for the company, yes.
Wayne Atwell - Pontis Capital Management: Okay. Well, listen, keep up the great work.
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: Thank you, Wayne. Good to hear from you.
Operator: We will take a follow up question from Tony Rizzuto.
Anthony Rizzuto - Dahlman Rose & Co: Thanks very much. Yes Dan, I guess my follow up was just to really echo the thoughts of Mike and Aldo. Just began with the stock being hurt so much, certainly we agree with you in terms of the strategy that you guys are implementing, we do think it's the correct strategy. There are exceptional occasions when obviously you've got to look at returns and how they stack up against one another, that was the only point I wanted to make is also to mention I think the investors would feel reassured to see you stand behind your stock.
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: I guess, you're probably saying that about the entire market these days, Tony?
Anthony Rizzuto - Dahlman Rose & Co: Well, that's true to an extent, but certainly with the prospects that you have and certainly the consistent earnings growth that you had over long period of time, there are times when I think some folks that maybe get into your story don't really understand the story correctly and that's unfortunate.
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: It is and it's beyond me that they don't and is beyond the other things, anything nowhere near rocket scientist to just look at what the history has been and the history not of 20 years ago, but the last five years, the last eight years and I believe that they will respond. I think things today Tony are rough across the market. I think there is a very better settlement all around, I think people trying to make money to panic, creating panic or taking advantage ever to what have you, and companies need to make sure they continued doing the right things for long-term benefit to shareholders and not knee-jerk to the short-term [indiscernible] that happen out there maybe even those it seem rather to do at the time. Otherwise, we don't function in a way that we are growing our company successfully to long-term because we're just jumping up and down with the trends that are not what I would call, based upon fundamentals. And that's a bad way to run a business. I certainly do take note of what you're saying, what the three of you have said. I certainly see that there is wisdom in what you're saying, but at the same time, we need to do what's going to be right for the long-term health of our company, our shareholders and employees and some day it maybe buyback stock, we certainly did plenty of it in the not too distant past. And other than that, we'll just have to see how things go, but thanks for your input and your advice.
Anthony Rizzuto - Dahlman Rose & Co: Alright, Dan. Listen, I fully understand what you're trying to build and --
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: I'm not trying to build, Tony we're doing it.
Anthony Rizzuto - Dahlman Rose & Co: I know you are, I know you are.
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: Is that old saying by that great philosopher you want to do it or do not, there is no try.
Anthony Rizzuto - Dahlman Rose & Co: And I also understand the issues that can happen to companies that don't think about the long-term from my own personal experience, but then I appreciate.
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: We won't go there, Tony.
Anthony Rizzuto - Dahlman Rose & Co: Not going to go there.
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: Thank you very much for your questions. Last question?
Operator: We'll take our final question from Deborah Fine with Fine Capital.
Deborah Fine - Fine Capital: Congratulations
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: Hi Deborah. . A: Deborah Fine: Hi Dan. Congratulations to you and your team on the great quarter.
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: Thank you.
Deborah Fine - Fine Capital: I'm going to echo for the last line what Tony and Aldo and Mike have said, and if you are not going to be buying back your stock, are you concerned that given where the valuation of the company is now with the stock down another 14%, I don't know what the current prices, that you are making yourselves on the goal, or you go out and spend the money on projects that might not generate the 50% to 75% return that you could be generating right now buying back your own stock?
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: Well Deborah --
Deborah Fine - Fine Capital: I'm serious.
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: I know you are serious. I was just going to say, a hell of a last quarter, I'm done. I wouldn't change my comments from what I've already spoken. We are a public company and anything can happen. But we believe we've got a great track record. We believe that it will offer our shareholders a greater return as Nucor and is there anything else. And why people are doing what they're doing today, when we have a quarter where that's a path of another record quarter and we're running a record year and for five years or eight years, people have been saying in the doom for the much of the furnace steel makers and scrap based steel makers versus the integrated guys and here we are still at the top of the heap, still making extremely good returns, with industry leading returns, still having record quarter after record quarter, record year after record year and--
Deborah Fine - Fine Capital: Well, for absence of throwing up your answer there I would understand why the market reacts, there's a lot of panic taking advantage of it might be extremely prudent.
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: As I said to the previous three other folks Deborah, that's reasonable advice sent forth, and we appreciate it. And whatever we do going forward, rest assure we'll be doing it to maximize return to Nucor, whether it's buying Nucor stock or buying another companies that help us to continue to grow our platform profitably.
Deborah Fine - Fine Capital: Thank you.
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: Thank you, Deborah.
Operator: And there are no further questions at this time. I would like to turn the conference over to Mr. DiMicco for any additional or closing remarks.
Daniel R. DiMicco - Chairman, President and Chief Executive Officer: I would like to thank once again everybody for their interest in Nucor, the questions and I would like to again thank our team, which is a growing team so we're not going to ball out of the park again and look forward to them doing it again in the third quarter and for the rest of the year. Thank you all very much.
Operator: Ladies and gentlemen, that does conclude today's conference. We appreciate your participation. You may disconnect at this time.